Operator: Good morning, ladies and gentlemen. Today is Friday, December 12, and welcome to the Butler National Corporation Conference Call. [Operator Instructions] Your call leaders for today's call are Jeffrey D. Yowell, Christopher Reedy, Adam Sefchick and David Drewitz. I would now like to turn the call over to Mr. David Drewitz. Go ahead, please.
David Drewitz: Thank you, Luke, and welcome, everyone, to the Butler National call. And before we begin, please note that certain statements made on this call may be considered forward-looking statements under the Private Securities Litigation Reform Act. These statements are based on management's current expectations and involve risks and uncertainties that could cause actual results to differ materially. Please refer to our filings with the SEC for a full discussion of these risks. Forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those expressed or implied. These risks and uncertainties are described in our filings with the Securities and Exchange Commission, including our most recent Form 10-K and Form 10-Q. We undertake no obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. With that statement completed, I will now turn the call over to Jeff Yowell, the Executive Chairman of Butler National Corporation. Jeff, it's all you.
Jeffrey Yowell: Thank you, David, and thank you to everyone joining us today. We appreciate your participation as we resume our quarterly earnings calls. These calls are an important part of our commitment to transparency and to keeping shareholders informed about Butler National's performance and direction. Today, you'll hear from our President and CEO, Chris Reedy; and our CFO, Adam Sefchick, who will review the company's financial and operational highlights for the quarter. Chris will also discuss ongoing initiatives across our Aviation and Gaming segments. And then Chris, Adam and I will address several of the questions submitted in advance by shareholders and analysts. With that, I'll turn it over to Chris.
Christopher Reedy: Thank you, Jeff, and thank you, shareholders, for your interest in Butler National Corporation. We are pleased to return to hosting shareholder conference calls. This past quarter reflects record performance for Butler National and recognition of continued efficiencies as we pass the fiscal year midpoint. The surge in operating and net income of 46% and 67% on a 9% increase in revenue demonstrates the effort that the Butler team is expending to be more efficient. The overall increase in revenue and efficiency is driven by gains in our Aerospace Products segment. These results reflect a 20% increase in revenue from aerospace products in the second quarter. Remember, Aerospace Products includes aircraft modifications or Avcon, avionics and Special Mission Electronics, which we commonly refer to as gun control units and cabling at our Tempe, Arizona operations. With aircraft modifications, we're working diligently to bring outside parts manufacturing back in-house with our recently acquired Newton, Kansas fabrication facility that provides about 5x as much fabrication and the recently upgraded CNC equipment. We are looking to bring back in-house $100,000 worth of parts manufacturing that we've had to outsource over the past year. Bookings and future business activity have not slowed. The backlog reflects our strong continuing demand for our [indiscernible] positive on our level of business. With our question and answers following our CFO discussion, I'll provide a little more insight as to business activities. The management services segment continues to work to stabilize the legacy gaming activity. The economic factors we discussed at the annual meeting, low cattle prices, reduced speed processing and the distressed agricultural economy play a significant role with the legacy gaming results. Sports wagering continues to contribute positively to the financial results. We appreciate our relationship with the Kansas Lottery and DraftKings. I'll now turn the call over to Adam Sefchick, our Chief Financial Officer, to review the financial results in more detail.
Adam Sefchick: Thank you, Chris. I'll provide a more detailed look at our quarterly financial performance. Total revenue for the quarter was $23.3 million compared to $21.3 million same quarter last year, up 9%. Aerospace segment revenue was $14 million compared to $11.7 million same quarter last year, a 20% increase. Professional Services Gaming segment revenue was $9.2 million compared to $9.7 million same quarter last year, a 5% decrease. Net income for the quarter was $6 million, up from $3.6 million same quarter last year. The $6 million net income does include a $1.5 million gain on the sale of the casinos administrative building that occurred in the quarter. Earnings per share for the quarter were $0.09 and $0.15 for the first 6 months of the fiscal year, and our cash position remains strong. From the Aerospace Products segment, the increase in revenue is primarily due to a $1.2 million increase in aircraft modifications and a $1.1 million increase in special mission electronics. From a percentage perspective, both costs and expenses decreased compared to the same quarter last year, and this resulted in an operating margin of 38% in the current quarter compared to 21% in the prior fiscal Q2 with an operating income as a percentage of revenue. Our backlog remains robust at $46.3 million. With respect to management services gaming, economic challenges in the local market due to the cattle and agricultural industries continue to impact discretionary spending in the area and has led to a decrease in our casino gaming revenue. While costs were flat for gaming, expenses were up 9% and trying to recognize some additional efficiencies with the casino, we did sell the administrative building, which was located about 4 miles from the casino, which is sold for about $2.4 million. And additional CapEx will be spent in the fiscal year -- in this upcoming fiscal year to construct a replacement facility immediately next to the casino for training and storage. We purchased 687,000 shares of our outstanding common stock during the second quarter. We've also purchased new production equipment for our airplane -- aircraft modification fabrication facility. This concludes the financial overview. I'll now turn it back over to Jeff and Chris to begin with the Q&A.
Christopher Reedy: Thank you, Adam. I'll read the questions that have been submitted. The first question is about earnings calls. Butler National is resuming earnings calls after a period without them. Can you talk about what prompted that decision and how you see the calls fitting into the broader approach to investor communications going forward? Jeff, as Chairman, I'll let you begin with this one.
Jeffrey Yowell: Okay. Thank you, Chris. We believe that resuming quarterly earnings calls is an important step in strengthening communication with our shareholders and the investment community. Butler National has evolved significantly in recent years, both operationally and strategically, and we want to ensure that our investors have a clear view into that progress. These calls are an opportunity for us to provide more context around our financial results, highlight developments in our aviation and gaming operations and answer key questions that we receive from shareholders. Our goal is to make transparency a regular part of how we communicate as a public company.
Christopher Reedy: Our next pre-submitted question is, Avcon continues to be a key contributor to Butler National's growth. Can you discuss the current status of your major STC projects and how management views the demand outlook for aircraft modification and engineering services? Let me address this question as it relates to operations. We shared the Avcon direction at the annual meeting, and I'll refer you back to the slide deck on the Butler National website to supplement my points. Avcon remains a strong performer and a core part of our long-term strategy. The demand for aircraft modification and upgrades work continues to be steady, particularly among operators who are extending the service life and efficiency of their existing fleets. While the government shutdown did impact some of our business, we continue to work around the challenges to meet customer needs. We currently have several STC programs in process. Most of the process -- or most of the projects are focused on the special mission modifications that we expect to commercialize in the near term. The FAA certification process can take time, but we're encouraged by the pipeline of projects and the level of customer engagement we're seeing. The government -- with the government shutdown, we were impacted by FAA inactivity from the fire extinguisher project to the Avcon King Air expanded door. We're extremely excited about our large airplane special mission modification project. Overall, we believe the business jet turboprop special mission market presents a continued opportunity for Avcon's engineering experience. Our next pre-submitted question is, Boot Hill Casino & Resort has remained a consistent performer. How are gaming trends shaping up this year? And what initiatives are in place to enhance the guest experience or expand entertainment offerings? I'll take this question as well. Boot Hill Casino continues to deliver solid, stable results. Visitation has remained constant, and we've seen consistent slot and table game volumes throughout the year. While we believe the local economy, beef prices, packing plant operations and the agricultural commodity prices continue to impact discretionary spending, we are still working diligently to increase patronage and control costs. We continue to invest in the customer experience and improvements from technology updates to facility enhancements. We just completed renovation of the casino restaurant Fireside Grill. The gaming market remains competitive but stable, and Boot Hill's location and established customer base gives us a strong foundation for sustained performance. The next question is, the company has maintained profitability and a strong balance sheet. Can you share management's current priorities around capital allocation, whether that's reinvestment in operations, debt reduction or potential shareholder returns? Adam, will you address this?
Adam Sefchick: Thank you, Chris. We've maintained focus on disciplined financial management and maintaining flexibility. Our first priority continues to be reinvestment in operations, particularly in aviation, where new STC development and engineering capacity can generate attractive returns. In the last year, we have invested over $1.75 million in fabrication expansion, including the new fabrication facility in Newton for aircraft modifications as well as the expansion to the KC Machine fabrication facility. Additionally, we have invested about $0.75 million in new CNC equipment orders. We've also made progress in strengthening the balance sheet through debt reduction and prudent cash management. We have also purchased over approximately 1.5 million shares of stock in the quarter. For now, maintaining that strong financial foundation gives us the ability to pursue growth opportunities responsibly.
Christopher Reedy: Our next pre-submitted question is, looking ahead, how is Avcon positioned to expand its customer base or capabilities? Are there specific market segments or technologies you're targeting for future growth? I'll take this question as it follows up on the first question about Avcon operations. We see continued opportunity to expand Avcon's customer relationships, especially with operators seeking custom modifications and specific aircraft solutions. We are also investing in capabilities that align with emerging market needs. For example, technical or sensor modification -- modernization, special mission conversions and aerodynamic improvements that extend the operational value of existing aircraft platforms. Avcon is working both STC approved as well as contracts requiring no STC for the installation of significant sensor upgrades with mission electronic systems. We have taken our engineering beyond the strictly structures focus of the early 2000s to be recognized now as a systems integrator. Avcon's strength lies in its engineering expertise and flexibility. This allows us to adapt quickly to market demand while maintaining our focus on quality and certification integrity. Our next question is a good follow-on to the last. Can you update us about new products, including cargo door and electronics and new customers? I'll address this one also. We continue to make meaningful progress across several Avcon and Butler National product and modification programs. The expanded door opening, also known as the King Air cargo door, the installation of the expanded door opening on the certification aircraft is complete. FAA approval of the certification plan was received last month, which is an important milestone. We are currently optimizing certain components, including items like the door seal. Once 2 outstanding elevator parts that were damaged during the hangar incidents this past summer are replaced, the aircraft will be ready for flight testing. We anticipate conducting those flight tests in February and based on FAA time lines, expect to secure the STC roughly 30 days thereafter. We have 2 additional aircraft scheduled for installation at our New Century facility. Following those installations, we expect to support customer training and international installations. Large airplane systems integration project. Avcon is now engaged in a multimillion dollar electronics and systems integration program for a repeat customer. This aircraft is currently in our New Century facility. And while the details of the project are confidential, the scope reflects Avcon's continued expansion into complex high-value modification work. We look forward to providing additional detail when permitted by our customer. A new Radome design STC project. Separately, Avcon is developing a new Radome and related electrical systems integration package for a very large business aircraft. This effort represents another meaningful opportunity to broaden our avionics and structural modification offerings. As the project advances, we will continue to update shareholders on key milestones. Another interesting project is our mosquito control King Air modification. We are supporting a unique application for a coastal government entity. Our modification involves designing and integrating a dispersing system for aerial mosquito control operations. While niche, this project highlights the versatility of our engineering and certification capabilities and may lead to additional mission-specific opportunities. As far as customer activity and international growth go, Avcon continues to attract new customers, particularly in international markets while maintaining strong relationships with our long-standing clients. Our sales team is actively engaged worldwide as demand for modification solutions remain strong. Special Mission Electronics, our gun control team in Tempe. At Butler National Tempe, we are completing the next-generation M134 mini gun control unit, including a more environmentally adaptable model that is designed for our European customers. The redesign incorporates customer-driven improvements in size, shape and environmental performance. These enhancements reflect ongoing investment in our related electronics capabilities. Our next pre-submitted question is, what are Butler National's top strategic priorities over the next few years? And how do you define success in terms of creating long-term shareholder value? I'll address this question as we shared the direction at our annual meeting and are moving forward with that action. Our strategy is straightforward: to grow shareholder value through consistent execution and prudent capital allocation. In aviation, we're focused on expanding Avcon's STC portfolio, increasing engineering capacity and deepening our customer relationships. We see an opportunity for our manufacturing capabilities to expand. We are reaching out to our customers about strategic manufacturing opportunity as an ITAR or military supplier of parts, both from electrical fabrication and from the machining businesses. In gaming, our goal is operational stability and cash generation that supports reinvestment across the company. Success for us is steady growth in earnings, balance sheet strength and maintaining a disciplined approach that positions Butler National for sustainable performance over the long term. Our next pre-submitted question is, how should we view the significant improvement in aerospace performance in fiscal year '25 and '26? Is this temporary, driven by defense spending or a sustainable base for mid- to long-term growth? I'll address this as another good operations question. Both Avcon and Tempe have benefited from improved activity, but for different reasons. At Tempe, current demand levels are influenced in part by defense-related spending, and we expect that to remain supportive under our current federal policies. At Avcon, the improvement reflects ongoing engineering and development work, efficiencies in our modification programs and continued strength in international special mission demand. Avcon's business is driven less by U.S. defense spending and more by global customer needs and the introduction of new FAA-approved products over time and our capabilities provide the foundation we can build on. But as always, we are cautious about making longer-term projections. Our goal is to continue executing well and expanding opportunities responsibly. Additionally, the improvements in efficiencies are the result of structural changes we made and not just a reflection of customer demand. For example, we elected to focus on higher-margin businesses. We shut down our JET or Jet Autopilot business and sold the remaining [indiscernible] in January of this year. We have reorganized avionics to be a supportive element of Avcon. While we cannot know the strength of future demand, we believe the performance improvements driven by reduced personnel costs, greater accountability and a focus on higher-margin products will be permanent. Adding to the previous question, it was asked, what is a reasonable midterm margin expectation for Aerospace? Is 25% EBIT sustainable? Or should we expect mid- to high teens as historically seen? I'll continue to answer this question as well. Margins in the Aerospace segment can vary depending upon the mix of work between development programs, repeat modification projects and kit sales. Some quarters may reflect higher margins when we have a greater proportion of repeat projects or kit deliveries. When Avcon or Tempe are allocating resources to develop new products or obtain new FAA STCs, margins will naturally be lower in those periods. Over time, the goal of these development investments is to create repeatable projects and modifications that can produce the higher-margin work. Because the mix can shift quarter-to-quarter, we do not provide specific midterm margin targets, but we continue to focus on managing resources efficiently and growing the base of repeatable offerings. The next pre-submitted question is, how are you able to earn such high margins in special mission projects -- Special Mission Electronics relative to the rest of Aerospace? I'll take this question as well. The Special Mission Electronics business benefits from proprietary software, firmware and hardware designs that we have developed over many years. As production volumes increase, we are able to realize efficiencies that improve margins. Tempe's work is also more production-oriented compared to Avcon's modification projects, which are often custom in nature and more labor-intensive. We have also taken steps to improve efficiency at Tempe as we meet customer requirements with repeat orders. The margin profile naturally improves. Avcon can also achieve strong margins on repeat installations and kit sales, but the mix of custom engineering work varies from project to project. The next pre-submitted question involves the topic about which we received significant feedback. Was there consideration of a reverse split in the past? And if so, is it being considered? Jeff, would you like to address this one?
Jeffrey Yowell: Yes, Chris, I will address this one. The Board previously sought shareholder authorization for a potential reverse split in connection with the fiscal year 2024 Annual Meeting. That authorization ceased upon having our annual meeting on October 1, 2025. The proposal did receive majority shareholder support. However, we also received meaningful feedback expressing mixed views about reverse splits in general. After considering shareholder input and evaluating market conditions, the Board elected not to proceed at this time. Our focus remains on driving organic operational performance and growth. While uplisting considerations were part of the initial evaluation of a reverse split, the Board believes that any capital market actions should align with both company readiness and shareholder interests. At this time, we do not have plans to pursue a reverse split.
Christopher Reedy: The next question closely follows the previous question. Can you elaborate on the adverse feedback regarding a reverse split? And what are the other requirements aside from the $2 minimum share price for uplisting? I'll take this one because I visited with a large number of people who really disfavored a reverse split. The shareholder feedback we received reflected concerns that a reverse split can be viewed as an artificial method of increasing the share price and that companies with strong fundamentals should reach listing thresholds organically. The Board considered that input carefully, which contributed to its decision not to proceed at the time. With respect to uplisting, in addition to minimum bid price, NASDAQ has requirements related to financial metrics, corporate governance, committee independence, application reviews, background checks and certain fees. We evaluate these criteria from time to time, but any decision to pursue an uplisting would depend on what is in the best interest of the company and our shareholders. The final pre-submitted question that we will address is Butler National's stock currently trades on the OTCQX. And some shareholders have asked why the company has not pursued an uplisting to NASDAQ or another national exchange. Can you talk about management's thinking around that decision and what uplisting is and whether [indiscernible] future plans? Jeff, would you like to take this one?
Jeffrey Yowell: Thank you, Chris. That's a good question. We've carefully evaluated the requirements and implications of uplisting to a national exchange such as NASDAQ. To answer the question, uplisting continues to be a goal for Butler National. Stock price has been the most significant element of NASDAQ uplisting. During the fiscal year 2024 Annual Meeting just over a year ago, the company placed voting for a reverse split on the proxy with the primary purpose of increasing share price for uplisting. We received significant adverse feedback. While our stock price has risen and company performance continues to be positive, uplisting would require expanding the Board and also implementing a range of additional governance, cost and administrative requirements that in the Board's view would not meaningfully change the company's liquidity or valuation in the near term. At this time, the Board believes that Butler National's current structure, including a 5-member Board is appropriate for the size and complexity of our business and allows us to remain efficient and focused. Our focus right now is on operational execution and consistent financial performance, which we believe are the real drivers of long-term shareholder value. As the company continues to grow, our market profile expands, we will revisit the topic if and when the timing and structure makes strategic sense. That wraps up the Q&A part of our call. I'd like to add a few closing remarks. I would like to thank everyone who submitted questions and joined the call today. As we look ahead, Butler National remains committed to investing in innovation within Aerospace segments, improving operational efficiency across all segments and building long-term value for our shareholders. We're pleased to reintroduce our quarterly earnings call format and look forward to maintaining open communications with shareholders as we continue to execute our strategy. That concludes our call. A recording of this call will be available on the Butler National Investor Relations website following this call for 30 days. Happy holidays to everyone.
Christopher Reedy: Happy holidays.